Operator: Good day and welcome to the BJ's Restaurants Inc. Third Quarter 2016 Earnings Release and Conference Call. Today's call is being recorded. And at this time I would like to turn the conference over to Greg Trojan, President and Chief Executive Officer. Please go ahead.
Greg Levin: Thank you, operator and good afternoon, everyone and welcome to BJ's Restaurants fiscal 2016 third quarter investor conference call and our webcast. I'm Greg Trojan, BJ's Chief Executive Officer, and joining me on the call today is Greg Levin, our Chief Financial Officer. We also have Greg Lynds, our Chief Development Officer; and Kevin Mayer, our Chief Marketing Officer on hand for Q&A. After the market close today, we released our financial results for the third quarter of fiscal 2016, which ended on Tuesday, September 27, 2016. You can view the full text of our earnings release on our website at www.bjsrestaurants.com. Our agenda today will start with Rana Schirmer, our Director of SEC Reporting, providing our standard cautionary disclosure with respect to forward-looking statements. I will then provide an update on our business and current initiatives. And then Greg Levin, our Chief Financial Officer will provide a recap of the quarter, and some commentary regarding the remainder of fiscal 2016 and some of our initial thoughts on fiscal 2017. And after that, we'll open it up to questions. And as usual we'll try to keep the call to around an hour. And as always we'll be around after the call for any additional follow up. So Rana go ahead please.
Rana Schirmer: Thanks, Greg. Our comments on the conference call today will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks, uncertainties and other factors that may cause the actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by forward-looking statements. Investors are cautioned that forward-looking statements are not guarantees of future performance and that undue reliance should not be placed on such statements. Our forward-looking statements speak only as of today's date, October 19, 2016. We undertake no obligation to publicly update or revise any forward-looking statements or to make any other forward-looking statements, whether as a result of new information, future events, or otherwise, unless required to do so by the securities laws. Investors are referred to the full discussion of risks and uncertainties associated with forward-looking statements contained in the company's filings with the Securities and Exchange Commission.
Greg Levin: Thanks, Rana. As widely reported Q3 was a challenging quarter for all restaurant categories including casual dining and BJ's. Clearly the political calendar debates in particular, Olympics and general uncertainty on behalf of the consumer combined to produce a generally weak retail environment and the softest industry wide restaurant performance we've seen in quite some time. In particular California sales for our industry as reported by Knapp-Track and Black Box and our own results in Western regions were disproportionately affected. Likely by the tell by their time of two national political conventions, Olympic events and the first presidential debate, which typically started squarely at dinner hour on the West Coast versus 9 pm on the East Coast. Given our heavy weighting of West Coast restaurants we believe we were disproportionately impacted during these events. I also think that the tone of this year's political season regardless of where your lesions may lie has generally what some would call nearly unprecedented level of negativity and doubt in the minds of the everyday American citizen. Overall retail trends and the results of other businesses depending on consumer discretionary spending confirmed as during the quarter many preferred to stay home versus going out. While our disappointing top-line results were certainly impacted by these macro events. During the quarter we also faced challenging comps with our strong year ago performance when we generated a 2.3% rise in quarterly comp sales. This was driven by our very successful Loaded Burger and Quinoa Bowl launches, which also helped drive a 4% plus increase in our average check last year. This year our check growth was a more modest 0.8% on nominal pricing in the high 2%. This year we build off the success of last year's Loaded Burger platform with a new Late Night Burger, but wrap that new burger around Summer Barbeque and Grilling as well. In retrospect we should have built more news and targeted promotional support around our burger segment. Secondly our check was pressured by the continued traffic outperformance of our lunch day part versus dinner. Partially the result of the macro factors I just mentioned, but also result of the continued momentum of our valued lunch offerings that we rolled out earlier this year. This impacted our ad on and liquor incidence, which is naturally lower at lunch than dinner. And then lastly we continue to increase our promotional intensity versus last year, which of course puts downward pressure on our check. While our frequency of our discounting is up approximately 30% versus last year, we've remain well on the lower end of the spectrum relative to our category both in terms of frequency and depth. Although we don't provide precise data for competitive reasons our general frequency of discounted promotional checks is below 10% and on a dollar basis below 4% of gross sales. That said dialing up our promotional intensity did impact our year-over-year check growth by about 80 bps. We will continue to remain competitive, but rational and disciplined on the discounting front as we continue to focus on our everyday value, our outstanding food quality and service along with our unique atmosphere to differentiate and drive our business. In the fourth quarter we will be displaying technology to segment our offers and to align them with our guest preferences and transaction history. While this program will take time to refine it is another step towards improving our ability to deliver an attractive targeted offer to those guests who tend to base their purchase decisions on who is providing a discount as well as drive new trier traffic. Next let me spend a few minutes commenting on our cost control and margin performance for the quarter. While our restaurant level cash flow margins declined due to the negative operating leverage related to the quarter’s comp sales. Our operators continue to do a very solid job of controlling our businesses. Greg, will share more of the details, but nearly all of our controllable cost categories were lower on a restaurant operating week basis. Our overall restaurant cash flow margins of 17.7% were 19.5% before marketing, still compares very favorably to our peer group. Keep in mind that Q3 is our lowest weekly sales average of the year and given our guest check challenges and the incredible choppiness and unpredictability of sales trends, our operators once again showed why they are among the best in our industry. Let me turn to my thoughts on the start of Q4 and the remainder of the year; while the first three weeks are clouded by the disruptive weather in Florida and the Southeast and some promotional offer timing differences within in the quarter, our trends have improved from where they were in Q3. Adjusting for weather related impact to restaurants, we are in the negative 1.5% range, although obviously it is very early in the quarter and ultimately the high volume holiday season will determine our sales outcome for the quarter. That said we expect to benefit from several factors related to restoring healthy check growth for the remainder of the year. Firstly, we will be rolling out several new menu items which are designed to grow guest check, while still delivering BJ’s signature value. Our recent new menu launch features several line extensions to our tremendously successful enlightened offerings, which includes our new line of Soba noodle dishes, our Vegan lentil soup along with our new super food entrée salad. We have expanded our enlightened menu category to include gluten-free vegan and array of super foods which are building on what I thing is now one of the leading line ups for better for you offerings in the in the casual dining marketplace. In addition we are featuring new combination meals for our holiday season, which include Rib-Eye and Ahi Tuna steaks, which are a great value while also representing solid opportunities for us to grow check. Secondly, we released recently rolled out a new physical menu format, which highlights items which are some of our more differentiated offerings, while again having the opportunity to drive up spend and incident rates. This layout performed quite well in test. Lastly, our promotional volume of line up closer to last year’s spending level and as such will not represent the level of drag on check as we have seen so far this year. We will also continue to drive awareness in trial in our key markets through greater and more targeted marketing. We recently launched our new Making Moments Count campaign, and we will have more media dollars in this year’s Q4, than we did in 2015. We have added two new markets to our television plan, which also includes radio and digital media. We also launched our new website and we are seeing improved metrics across our organic search and site engagement, which is ultimately driving business to our ordering and location pages. In November we will be adding a new online ordering interface, which will incorporate more upsell and cross sell functionality to the site. Let me now share some thoughts regarding 2017. Driving our brand awareness, further differentiating our food variety and quality and improving our speed of service through technology and labor deployment remain foundational to our strategy. In addition, we know that growing our off premise sell given our varied menu is the larger top-line opportunity as well. Clearly our ability to continue to grow our restaurant footprint is the key opportunity to drive value. We will open 17 restaurants in 2016, with two less than we anticipated in the back half of the year, as the extensive rains in the Mid-West delayed construction of our next two restaurants in Indiana and we elected not to open later in the year during the holiday season instead we’ll open in early 2017 for these two new restaurants. But as we look to the restaurant openings for 2017, we plan to slow our growth to help navigate the challenging macro environment, while we have not yet finalized our planning for next year; we are anticipating a range of 10 to 15 new restaurant openings. We are slowing the pace of growth to focus even more of our enterprise resources on building sales. In times like these where the sales headwinds are blowing fiercely, we are choosing to point more weapons at growing sales in existing restaurants versus opening more restaurants, much like we did during the 2008 and 2009 down cycle. I see the impact of our season general managers and executive kitchen managers every day. And opening fewer restaurants will afford us the ability to season our bench and keep our veterans in place in the current communities that much longer. All of which leaves to even better execution in our restaurants and sales building within our four walls. From a financial point of view it gives some margin momentum in these uncertain sales times and will maximize our free cash flow, which combined with our conservative balance sheet gives us an even more flexibility for sales building capital and share repurchases going forward. An additional factor in this decision is the recent increase in unit closures and bankruptcy filings from other restaurant concepts across the country. It looks like the tide has finally turned in favor of a slowing in the pace of seed expansion and although it will take some time; we believe we will see even more attractive real estate and better underlying rents over the next 12 to 18 months than currently exist. As such we will remain ready with our first class development and operation opening teams to take advantage of some great locations and real estate values going forward. Despite our decision to slow down our unit growth the class of 2016 is shaping up to be a very strong year of new restaurants for BJ’s, particularly given the preponderance of openings in new or newer markets Pittsburg, Allentown, Suburban Cleveland, North Carolina they all represents solid new market for us and a platform for more restaurant development and future comp sales growth as we ramp towards critical mass in these newer markets. We are very pleased with the performance of our Proto 7000 restaurant layout, which had an average net investment of approximately $3.5 million, continues to set the right platform of solid returns on capital. It’s worth remembering that even in down restaurant cycles such as this and we have live them before that full service dining at nearly $300 billion in revenue continues to be the largest segment of the restaurant industry, with casual dining making up about two-thirds of that segment. Our market share of casual dining added approximately 0.5%, represent the large opportunity for us to continue to penetrate and take share in this mature, but very large market. And notwithstanding the temporary realignment of our new opening schedule, we remain very confident in the strength of our brand with consumers and national capacity for 425 plus BJ’s Restaurants. In closing, let me summarize our plan to battle one of the toughest restaurant cycles we have seeing since the great discussion. We will drive traffic through increased brand awareness and brand affinity by telling our quality and our value stories. We are pulling back on growth to unleash the power of our operations in each and every one of our restaurant to build sales base upon our fundamental consumer proposition, which focuses on great food, great service, great value and a great setting. We will build check by focusing on center of the plate offerings, which deliver great value at higher price points and we’ll continue to utilize the discipline and experience of our team members to operate our restaurants more efficiently than the day before. And lastly, we intend to use the power of our balance sheet to drive higher shareholder returns and what we deem as the appropriate combination of investing in sales building capital initiatives along with buying back our stock at attractive price levels. I'll now turn the call over to Greg to provide some more specific on the quarter and the remainder of the year.
Greg Levin: Thanks, Greg. Revenues for the 2016, third quarter increased approximately 2% year-over-year to $233.7 million, while net income and diluted net income per share were $7.2 million and $0.30 respectively. This compares to last year’s third quarter results of $12.4 million in net income and $0.48 in diluted net income per share, which benefited from a 2.3% increase in comparable restaurant sales and a onetime non-recurring pre-tax gain of $2.9 million or $0.09 per share related to a lease termination payment. Excluding this onetime item, our net income and diluted net income per share for last year’s third quarter on an apples-to-apples basis was $10.2 million or $0.39 respectively compared to the $7.2 million and $0.30 per share for this year. On a cost per week basis our operators did an excellent job managing the cost within their control, however as Greg Trojan noted, our resulted reflect the negative operating leverage in our business resulting from both ongoing choppiness and negative comparable restaurant sales during the quarter. This led to our restaurant level cash flow margin of 17.7% in the quarter. As Greg mentioned, our restaurant level cash flow includes 1.8% of marketing spend, which many peer companies include in their G&A. Therefore excluding marketing spend our four wall restaurant level margin for Q3 was 19.5%, which while down from last year's third quarter still among the best in the casual dining space. We think this is a solid indication that our focus on managing cost is particularly helpful in mitigating the impact of the overall market environment where comparable restaurant sales remain challenging. Our restaurant level margin also is a direct reflection on the overall strength of the BJ's concept with leading AUVs in the casual dining sector and continued solid returns from our new and existing restaurants. The 3.4% decline in comparable restaurant sales during the quarter included an approximate 0.8% increase in our average check, which was offset by an approximate 4.2% decline in traffic. As Greg Trojan noted earlier, negative traffic counts impacted most of the casual dining sector during this past quarter. While we do not give comp sales by month, September was our most challenging month in the quarter, as we saw a step down in our California restaurants during that period. Looking at the industry data from both Black Box and Knapp-Track it appears that our trends are consistent with the casual dining industry segment, which also experienced the same softening sales trend in the quarter. We believe the softness that we saw in our California restaurants in September was primarily related to the hurdle from a year ago as in last year's third quarter our California restaurants comped approximately 6% positive including traffic growth of almost 2.5%. And to bring up any questions our Texas location is continued soft during the quarter and we really not see any noticeable change in our Texas business trends over the course of the third quarter. As Greg mentioned, though we had no nominal menu pricing at upper 2% range during the quarter our average check only was up about 0.8% as we increased marketing promotions to try and drive guest traffic and saw a continued success from our valued price Piadina's and grilled cheese sandwiches, which were introduced in Q1 of this year. Our implied pricing of around 0.8% appears to be very modest compared to the rest of the industry kind of the Black Box and Knapp-Track data, which based on our analysis tends to show the industry had implied pricing closer to the low to mid 2% range. Our weekly sales average for Q3 was approximately $101,000 down about 1.5% from our comp sales decrease. The spread between comp sales and weekly sales averages in the 1.5% range has been pretty consistent over the last 18 months as we continue to diversify our operating base away from California, but new restaurant openings in new markets for BJ's. Cost to sales for the quarter of 25.6% was 110 basis points higher than the year ago quarter. As we previously noted and at our calls beginning this year we changed the way we internally allocate promotional cost between cost of sales and marketing. Previously we recorded some marketing and food cost charge related to promotional activity, which was also the lower cost to sales and higher marketing expenses. However, given our efforts to increase promotional activity particularly due to activity in our loyalty program it was prudent to change this practice. On an overall basis we saw our commodities increased about 0.5% and this was primarily due to higher cost for salmon and avocados, which unfortunately I expect to stay high through at least the fourth quarter of this year. We also saw an increase in our cost of sales due to the increased promotional activities and menu mix especially around some of our lunch items as I just mentioned. The current macro headwinds and resulting choppy environment has made labor scheduling and cost management more difficult. Our labor came in at 35.1% for the third quarter, representing 70 basis point increase from the year ago period and was driven primarily by higher hourly and management labor of approximately 120 basis points, due to higher hourly wages which were in the 3.5% range or so and deleverage from negative comparable restaurant sales. This was offset by lower quarterly incentive compensation, as well as less payroll related benefit and workers' compensation expense. Operating and occupancy cost were 21.6% of sales for the third quarter, 30 basis points higher than the prior year quarter. Included in operating and occupancy cost is approximately $4.3 million of marketing, which amounts to about 1.8% of sales. As I noted a moment ago we changed the way we allocate certain cost related to promotions and discounts which have been charged directly to marketing in previous quarters. This resulted in marketing being about 40 basis points less than the prior year period when it represented 2.2% of sales. Excluding marketing, operating occupancy cost in the third quarter average approximately $20,000 per restaurant operating week and as compared to $20,300 last year, the decline from last year is due to lower general liability insurance partially offset by higher facilities cost and our general cost controls within our business. Even though we were able to reduce our cost per operating week, our operating and occupancy cost excluding marketing were approximately 19.8% of revenue compared to 19.1% in last year's third quarter. This increase as a percent of sales is a result of the reduced operating leverage resulting from negative comparable restaurant sales. G&A was $12.9 million in the third quarter it represented 5.5% of sales and that's down from 5.9% in the prior year ago period. G&A was lower than anticipated as we reduced corporate incentive compensation by approximately $1 million. Depreciation and amortization was approximately $16.3 million or 7% of sales and averaged about $7,000 per restaurant week which is in line with our recent G&A trends. Preopening expenses primarily representing expenses related to the five restaurants that opened in the quarter plus preopening rents and other expenses for the five restaurants to be opened in the fourth quarter, as well as restaurants that will be opened in the first half of 2017. Our quarterly tax rate was 20.5% and that was below our annual target rate of around 29.5% or so and that's due to the use of our FICA tax tip credit and [indiscernible] credits as well as other credits against a lower pretax income than anticipated. Total capital expenditures for the first nine months of this year were approximately $81 million and we still anticipate gross capital expenditures for fiscal 2016 to be in the $110 million to $120 million range. Our anticipated capital expenditures cover the construction of 17 new restaurants, maintenance CapEx and other sales building initiatives, before any tenant improvement allowances and our new restaurant construction cost also include construction cost for restaurants that will be opened in early Q1 and Q2 for fiscal 2017, including those two restaurants that we're pushing to the first quarter of next year. During Q3, we continue to use our strong cash flow from operations and solid balance sheet to opportunistically repurchase shares as we allocated approximately $23 million towards the purchase of 600,000 shares of our common stock, since the authorization of our initial share repurchase program in April of 2014, we have repurchased and retired approximately 6.1 million shares of BJ’s stock for approximately $243 million. This leaves us with approximately $107 million remaining under our current share repurchase authorization. With regard to liquidity, we ended the third quarter with approximately $26 million of cash and $109 million of funded debt on our line of credit which is in effect till September of 2019. Our leverage at quarter end is a little under one time debt-to-EBITDA and our line of credit is for $200 million and provides us the continued flexibility for our national expansion program, while returning capital to shareholders through our share repurchase plan. Before we open the call up to questions, let me spend a couple of minutes providing some commentary on our outlook for the remainder for 2016 and some very preliminary thoughts for fiscal 2016. Although this commentary is subject to the risk and uncertainties associated with forward-looking statements as discussed in our filings with SEC. As we begin Q4, industry wide comp sales softness has continued into October though we have seen some early incremental improvements in comp sales for the third quarter. As Greg Trojan mentioned a variety of headwinds are weakening consumer confidence causing continued declines in restaurant traffic, as well as increased restaurant supply in a more competitive promotional environment. As a result our sales to-date in October excluding the impact from Hurricane Matthew in which we lost 26 restaurant days to closures are trend in closure to negative 1.5%. More importantly we have seen some recent improvements around those numbers. While we are encouraged by the improving trend to start October, I would like to reiterate that it is only 18 days in and over that period we have seen continued choppiness in our daily sales. Additionally, this year Christmas Eve and Christmas Day moved to a Saturday and Sunday as compared to a Thursday and Friday of last year, which could have a negative effect on comp sales for the quarter. Not to mention some of the expected softer days around the presidential elections and debates. While Greg Trojan mentioned several sales building initiatives we are implemented they are just getting started and at this juncture we would lead towards conservatism in building comp sales forecast for Q4 until we see a greater challenge in the current trend in the business. Moving past comp sales I would expect approximately 2,590 restaurant operating weeks for the fourth quarter, this does include the 53rd week in Q4. I expect to continue to see negative 100 to 150 basis points spread between comp sales and weekly sales average. This has been pretty consistent over the last couple of years as most of our restaurants are being opened outside of California. Investors should keep in mind that our lower cost prototype and lower operating cost from our operating initiatives along with the fact that most of our newer restaurants are in states that are significant less expensive to operate in than California are leading to returns on these new restaurants that are at least meeting and in many case exceeding our internal target. Moving on to the rest of P&L, as I mentioned we continue to see pressure in commodities primarily around the all the quarters in avocadoes and salmon. Also, our increased promotional cadence and emphasis around value are leading to slightly higher cost of sale. As a result, I’d expect cost of sales in Q4 to be in the upper 25% range fairly consistent with this past third quarter cost of sales. Reflecting the continued choppiness in our lower comp sales currently, I expect labor to be in the low 35% range. However I want to remind everyone that labor is highly dependent on comp sales and as such labor remain significantly be higher or lower as a percent of sales depending on our comparable restaurant sales during the current quarter. We are targeting total operating occupancy cost in the 21% range, this total will include approximately $6 million in marketing spend. Our G&A expenses for the fourth quarter should be in the range of $14 million to $14.5 million. Pre-opening cost should be approximately $2.1 million for the fourth quarter, based on five planned new restaurant openings, plus some pre-opening cost for restaurants that are expected to open in the first quarter of next year, including the two new restaurants in Indiana that we have shifted from 2016 fourth quarter to early Q1. I expect our cash flow in the fourth quarter to be in the 27% to 28% range, diluted shares outstanding should be around $24 million or so. And finally please remember this year’s fourth quarter as I already stated is a 14 week quarter, as this is a 53 week year for us. As a result, we’re trying to get some additional leverage in operating occupancy cost and appreciation for the 53rd week in Q4. Looking ahead to 2017, we are currently finalizing our financial plan, which we - will be presented to our Board for approval in December. So while we do not have an approval plan to review today, let me provide you with some of management’s preliminary expectations for 2017. As we mentioned in today’s press release, we are now targeting 10 to 15 new restaurant openings next year. For modeling purposes, I would use 12 restaurants as of today. We currently anticipate opening two to three new restaurants in the first quarter and two to three new restaurants in the second quarter, with the remaining restaurants schedule to open in the back half of next year. As many of you know, opening new restaurants is not an exact science and things such as weather, delays in permitting or other construction related issues may cause our openings to move from one quarter to another. As in the past, we will keep investors apprised of any movement of new restaurant openings. A significant benefit from slowing our new restaurant growth plan is a tailwind this will provide for our margins and free cash flow generation, as a revised new restaurant opening cadence is expected to result in further improvements in G&A and significantly lower capital expenditures and pre-opening cost. I also want to highlight that our new growth plan is not in any way an indication that we are point back from our belief in the strength of our brand and concept. Our attractive four wall economics from our new restaurants especially given the lower investment and ongoing operating cost continue to support our target of at least 425 BJ’s restaurants domestically. We’re not anticipating to achieve this goal and we’re going to be good stewards of our cash flow during this time of market uncertainty to make sure we remain disciplined and focused on a longer term target. Moving on to some other metrics for 2017, while we have not finalized menu pricing, based on our current thinking, I would expect it to be similar to this year, which is for menu pricing to be in the 2% to 3% range to offset inflationary pressure. Please note that this is as of today and is based on anticipated commodity pressure, labor and other inflationary factors. Since we tend to rollout new menus in the winter, spring and fall, menu pricing could change at these times. Also our forecast does not take into consideration any discounting, mix make shifts or promotional activity, which could offset some of our menu pricing or the overall macro environment. With regard to our very preliminary commodity basket for 2017, we currently anticipate the cost of the aggregate commodity basket to increase around 1% next year, we will tend to lock in most of our commodities for the next year over the next couple of months and therefore we will have a better idea of our commodity pressure when we report Q4 results in early February of 2017. With regard to labor we will absorb another increase California minimum wage as well as additional minimum wage pressures in other states. Separate of the state minimum wages we have seen an increase in wage pressures in the restaurants business for hourly positions and managers. Over the last several years low cost capital for restaurant expansion has allowed us for significant new restaurant openings around the country. However, based on today’s tougher comparable restaurant environment we may have finally begun to see new restaurant opening across the industry slow. That being said I expect to see additional upward pressure on hourly and management wages going into 2017. We still believe there are some potential for additional labor savings and improved productivity, as we continue implementing new ideas to our Project Q initially as well as some other sales building initiatives such as handheld devices, which we are currently testing in a few restaurants that could ultimately improve labor productivity. With regards to our operating occupancy cost for next year our goal is to hold the line on these savings we’ve already achieve in our model and use additional savings to offset some of the normal inflationary pressures we basically check each year. While we have not yet finalized our marketing plans for fiscal 2017, I expect marketing will be similar to the last several years in the 2% to 2.3% of sales range. On the G&A line for 2017, our goal is to continue to gain leverage as we grow. As we've said before a portion of our G&A is growth related, whether that is our opening teams, recruiting cost, travel or managers and training all those costs are on to G&A and therefore with the slowdown to 10 to 15 new restaurants next year, I would anticipate us to continue gaining leverage in G&A in fiscal 2017. Our income tax rate for next year should be in the 29% range, and we expect that diluted shares outstanding for next year will likely be in the $23 million to $24 million range. Also we are assuming higher debt levels next year and therefore anticipate a range of around $1.7 million to $2 million in interest expense. Our CapEx plan for 2017 has not yet to finalized and approved by our Board of Directors, but at this time I would anticipate our gross capital expenditures for 2017 to be in the $80 million to $80 million range and that’s assuming the development of 12 new restaurants, maintenance capital expenditures and other sales and growth initiatives before any tenant improvement allowances or sale and lease back proceed we may receive. We have a very robust restaurant pipeline and depending on many different factors this number could increase or decrease. We anticipate funding our 2017 capital expenditure plan from our cash flow balance sheet, cash flow from operations, our line of credit, landlord allowances and sales lease back proceeds. With that this concludes our formal remarks, and I’ll turn it over to operator so we can open up for the questions.
Operator: Thank you. [Operator Instructions]. At this time we’ll take the first question from Nicole Miller with Piper Jaffray.
Nicole Miller: Good afternoon. Thanks for the update. You gave us a lot of industry information which was helpful, do you see grocery deflation having an impact on your business?
Greg Trojan: Yes, I think Nicole as it is obviously impossible to quantify, but that gap of food away from home and grocery versus restaurant side of things is certainly not helping. I don’t know that - I don’t think it’s driving the traffic differences that we are seeing year-over-year as much as perhaps some of these other hopefully more temporary factors that I do think is part of the story.
Nicole Miller: And then I’m taking the store count to 10 to 15 next year are there any cash write-offs or anything we should be aware of with any associated previously signed leases or LOIs? Are you basically able to push those out with no impact?
Greg Trojan: That's a good question.
Greg Levin: Yeah we are able to push those out without any impact will be put together our pipeline.
Greg Trojan: I would say it’s highly unlikely there is none that we have seen in that category, I mean we’re having firmly decided on these pace and number of restaurants Nicole that I would be surprised to see that.
Nicole Miller: Okay. And just a last quick one from me can you remind us of the gross versus net comparison on CapEx historically how much PI or just how do you think about that generally going forward?
Greg Levin: Yeah Nicole we generally certainly - so first of all on new restaurants it’s gross of about $4 million. We try to get $1 million in TI some we get zero, some we get to $1 million, some we get less or some we get less. In general, we're probably looking at somewhere as near about $0.5 million per restaurant. So if you figure 12 restaurants you can kind of figure 12 times $500,000 get you to $6 million in TI that would come into it. We generally spend about $75,000 or so for maintenance CapEx so that was $15 million or so in maintenance CapEx for next year. And then as we do every year we put together a list of sales building initiatives that we present to our Board and generally depending on how the year is going or whether we see an ROI fit, we will for lack of a better term call an [indiscernible] and change them mid-year. In general we probably target somewhere in the neighborhood of $15 million to $20 million in initiative CapEx that's kind of in our number right now as I think about next year's preliminary CapEx number of $80 million to $90 million. And again those are always subject to change and tend to move during the year.
Nicole Miller: Great, thanks again for the update.
Greg Levin: My pleasure.
Operator: We'll now go to Mathew Difrisco with Guggenheim Securities.
Mathew Difrisco: Thank you. I just had a question with respect to sort of a new menu and a lot of the innovation you've done as far as elevating the menu. And your traditional customer has been coming in for pizza. And I wonder have you seen what is your mix right now of pizza? And is that somewhat of a - are the new menu items maybe a little bit less frequently used or are you getting a consumer that might use you more like a cheese cake maybe once a month rather than I think historically have always sort of have been on that you've indexed pretty high as your core user coming in maybe and using you a little over three times a month. What have you seen in that behavior?
Greg Trojan: So I'll take the general question and then I'll let Greg follow up on that. Because I think it's an important one to understand and remember. When we are talking about some of these guest check building opportunities, we're not doing that. Remember in the first part of the year we rolled out Piadina's and grilled cheese that were real value offering. So given our varied menu we're not saying that's a single focus for all of next year, but we do see in the testing that we're doing and the success of so many of our items on that on higher spectrum of guest check for us that there is an opportunity to do more and build check particularly in a time as we can all see where traffic is challenged. But don't take that to an extreme where it represents a change in our concept. We're still as committed to ever as having this varied menu that gives folks the choice from a price point and check perspective to taste and what they want in a given point in time. So I don't - we have not had a preponderance of menu development that has changed or skewed the experience in that respect if that's answering your question. And I don't see that happening. I just look at some of our both on the enlighten side and some of the other areas of our menu are have been and continue to be very, very popular. And I think there is an opportunity to do more of this given the climate and what we're seeing in trend wise there.
Mathew Difrisco: Okay. Was Greg going to add something to that.
Greg Trojan: We had a strong Q3 year last year we had a bit more product development there. But it's remained very healthy. I think overall on a national basis it's down a little bit because as we open in new markets outside of our core in California our pizza incidence is naturally lower in those markets. But markets to markets we still sell a lot of pizzas. We're actually generating some probably more than you wanted to know, but some good trial in pizza through just one of our franchise [indiscernible] half large pizzas on Monday night. And one of the strategic reasons for doing that is we want to introduce our great pizza to particularly these newer markets and that program is working well.
Mathew Difrisco: Okay. Did Greg want to add something to that you said also or should I do a follow-up?
Greg Levin: Yeah the only comment I would make on that is it really just changes quarter-to-quarter based on our marketing at that time. A year ago which we're going off right now we market as Loaded Burgers. And you get a switch from pizza to Loaded Burgers from that standpoint. Certain times I believe in the third quarter of last year as well we did a two three times certain times featuring our pizzas. So your pizza mix goes up at that time. So it's a little bit of a combination of things that Greg Trojan talked about on top of that while we're emphasizing during that quarter.
Mathew Difrisco: Okay. Greg Levin can you also talk a little bit about - the average check was a little confusing I think you said average check but then you also implied your price. Was your price 0.8% in the quarter or was it 2% and then you had a negative mix representing the promotional activity?
Greg Levin: That's correct. Our pricing was probably more in the middle to upper 2% range in that regard. And then overall our average check so you'd expect your average check to be up let’s just call it 2.5%. But your average check was only up 0.8% and the reason was only up 0.8% was a variety of factors which Greg touched upon. One is we're seeing an increase in traffic compared to dinner at the lunch time. So you've got more people coming in at lunch just to lower priced the item as well as the fact that we are - since we are having a tremendous amount of success out of the launch items we put on earlier this year. So that's played into it. And when you having a little bit less on the traffic for dinner you're also not getting that additional bear sale or appetizers. And then the other side it was the really the promotional and marketing side of things which we did increase year-over-year where we had a greater percentage of our check had some type of promotion against them than when we were a year ago. So our effective average check only increased about 0.8%.
Mathew Difrisco: But still can you quantify how much of your checks are on promo? I mean I don't want people to walk away and think this is like QSR, I mean you're still pretty low.
Greg Trojan: No, that's why I mentioned it in my remarks that it's below 10%. So we're not going to get too specific there. But compared to where a lot of our peers are in the industry as it appears that puts us on the very low end as you know.
Mathew Difrisco: Great, excellent. And then last question the pullback in openings is it probably correct to presume, you're going to follow that same thing that you did in 2008 when you last pulled back growth and that was troubled market. So in that day it was the Inland Empire of California would we suspecting then Texas probably is going to see that's where the majority of your square footage curbed where you're going to curtail some of that square footage growth?
Greg Trojan: We had already been doing that Matt. The bulk of our development spend outside of California and Texas which is an important point to understand. So it's not specific in the way that 2008 and 2009 where there were because of the housing bubble some real geographic differences of impacted areas. We had already made sort of the Texas decision that that we're going to lighten up development given the amount of seat density and number of seats have been added in that market. So it's more of a broad we think having more of our like I said earlier more of our resources in general focused on four wall sales building make some sense, but it's not targeting in a specific geography or two.
Mathew Difrisco: Okay. So you will have Texas openings in 2017?
Greg Levin: No.
Greg Trojan: No, we're not - I would just say that’s not new news we already made that decision.
Mathew Difrisco: No Texas openings, good. Thank you.
Greg Trojan: Okay.
Operator: At this time we'll take a question from David Tarantino with Robert W. Baird.
David Tarantino: Hi, good afternoon. My question is coming back to the same store sales performance. And I guess it's been a while since we've seen this level of underperformance relative to the industry. And my question is are you seeing anything in your data and I know you called out a lot of macro factors and some factors that are specific to you, but are you seeing anything in your consumer feedback data or customer feedback data that would signal an issue with the value proposition or the brand or anything company specific in your data that you're looking at?
Greg Levin: Well thank you that's a good question and thank you for asking that, because the answer is no. Actually our satisfaction scores frankly our internal team satisfaction scores are all improving. So our fundamental metrics are continuing to be sound David and really the things that we think were driving that because you're right we've been outperforming by and large on for a good period of time now in terms of Knapp and Black Box is the preponderance of California in our mix is a big deal. And you look at the industry metrics relative to the West Coast and California it beards that out. And the bit of a perfect storm around lunch and the things that were impacting traffic. So we did a little bit of this to ourselves and on purpose to drive some more traffic at lunch. And then on top of this the macro factors that emphasis lunch in favor of dinner really had an impact on our check and I’d emphasize the number I mentioned in my remarks that we had guest check growth of a year ago at 4% and the impact of our Loaded Burgers and our enlightened launches of a year ago lapping those in the phase of sort of the double whammy of lunch versus dinner, that we would do that differently in terms of product intensity this year if we had it to over, but those were really the factors that drove the difference between industry performance this time around.
David Tarantino: Got it. And then maybe turning to the unit growth outlook, I guess a lot of the commentary suggest this might be a temporary pullback, but I guess what would make you want to reaccelerate the growth? I mean what would you need to see have those openings move higher going forward?
Greg Trojan: I just this obviously the biggest factor is momentum on top-line from an over a macro and from our concept perspective is, it’s clearly tough out there and the driving force although there is some other important advantages in my mind of doing this is to martial more of our internal resources and that’s people, that’s time, a limited time in a day and limited number of folks that we have here at the RSC and in our restaurants focused on battling those headwinds. And one of the things that I think is generally can be a little underappreciated about the history of our concept, is how well we have done running fundamentally executing our current - our base restaurants and opening 10% plus kind of unit growth historically and we are really good at doing both, but ultimately there is a trade-off between how many resources you’re going to put on one front versus the other, to me this is all about putting more those resources on driving traffic and sales. Even though, we’ve proven we can be pretty balanced about it given the difficulty we are seeing in the external environment, I want more troops on that side of the equation. When we see that being successful that’s - that would be the time where we would accelerate growth.
David Tarantino: Got it, makes sense. And then Greg Levin is there any way to frame up the margin benefit from slowing down the growth, I guess kind of an all else equal math equation. What would the benefit that you in margin see just from changing the growth?
Greg Levin: David it’s a great question. I don’t know if I have that yet or not, so I don’t think I have that yet, we haven’t put together our plan for next year as we continue to (Inaudible) and where you tend to get out of it I just don’t know the answer, obviously the 17 restaurants that opened this year they moved from lack of a better term fresh meant to soft more, so they’re going to play better and execute better being only replaced by 12. So I just - I don’t know where it is yet, it also depends on what you’re thinking about comp sales environment, because obviously it will get enough from that standpoint. So definitely see lower G&A, in that regards we’ve already talked about G&A growing at somewhere in the neighborhood of about 70% of top-line growth and that top-line growth is always depended on 10 plus percent unit growth in that regard. So the G&A will come down, pre-opening comes down, I don’t know on the restaurant level margins yet until we start really finalizing for lack of a better term pencil to paper on new restaurant.
David Tarantino: Okay. And just I am sorry to ask so many questions. And G&A coming down, does that mean that growth in G&A dollars comes down or does the dollar is actually declining next year?
Greg Levin: No the G&A dollars will go up, because we’re just still going to have growth from that standpoint, in fact they won’t go up nearly as much as what they would year-to-year.
David Tarantino: Got it. Okay. Very helpful. Thank you.
Greg Levin: You’re welcome.
Operator: We will now move to John Glass with Morgan Stanley.
John Glass: Thank you very much. Just maybe staying on that theme of benefits from slower growth or dynamics around slower growth; first, is there any benefit to lower cannibalization or is cannibalization not really been a factor given you’re in a variety of markets right now?
Greg Trojan: I think there is certainly some cannibalization, John that’s been less so as we’ve moved the bulk of our development out of California and Texas. But nonetheless, we’re still clustering the developments at these restaurants. So there is intentional cannibalization. The other thing I would you tell you is as we have less of a mix going forward of honeymooning restaurants will help us from a comp perspective as well because as we often said it’s been pretty consistent is our restaurants new to the comp base bring overall comps down about 50 basis points typically. So, overtime of we’ll have less of a grad there.
John Glass: And you had mentioned slowing helped you redeploy some resources from new stores to existing stores did you mean by that just sort of human resources meaning you can keep more people in stores or did you mean something else that you are going to redirect some certain spending towards sales building? I just wasn’t sure if it just meant people or if you are actually going to…
Greg Trojan: It’s really all of the above but I think one of the - David was asking the question to Greg around quantifying the financial benefits and there are quite a few, quite a list that we can get fairly precise around in terms of preopening et cetera. But the hidden cost of growth and one of the big ones the amount of manager churn and movement in the system that it drives look we’re going to be here someday telling you we’re going to ramp up growth and how excited we are about it. So I don’t mean to get too excited about slowing down here either, but the fact of the matter is in a time like this slowing down that churn within our restaurant and keeping our managers in place longer has measurable margin improvement and sales building improvement opportunities that go with that. And that’s a big thing in within our restaurants and then look we’ve got a team here in Huntington Beach that slowing down this growth and putting those resources to bear against some of the ideas we have around speeding up our restaurants and putting capital behind some technical capability that will make us better from a guess perspective. Those are all limited resources that we can on the margin put towards sales builds.
John Glass: And then as Greg Levin you mentioned that comps quarter to date excluding weather just we’re on the same page what was the weather impact or what would comps be if you included the hurricane impact?
Greg Levin: Right around 2% or so I believe.
John Glass: A decline of 2%?
Greg Levin: Decline of 2% yeah. So it’s about 50 bps in there or so related to Hurricane Matthew.
John Glass: Got it, thank you so much.
Greg Levin: Welcome.
Operator: We’ll now move to Chris O'Cull with KeyBanc.
Chris O'Cull: Thanks, good afternoon guys. Greg I wanted to follow-up on the underperformance in the quarter, did BJ start to underperform the segment in new geographies during the quarter or was it just a function of industry sales slowing in California and BJ IS being over indexed to that state?
Greg Levin: It’s the ladder there as I mentioned in my formal calls, I mean the formal remark, September I took a step down in California, we were surprised by it in our regard and as a result September became a much more challenging period for us in the quarter and September as we all know for everybody that follows the restaurant industry tend to be your lowest weekly sales average month of the entire year. But also we got (Inaudible) sales average and negative comps on top of it it’s hard to leverage the business in that quarter because of that. So, that’s what kind of happened when we look at the quarter versus maybe in July where said we were down kind of 2% and look we talked about in July that California had softened in June that was part of our formal remarks. I think we heard other companies talk about that same dynamic kind of June and to July that were maybe more California centric concept then we did see that step down in September. That being said, we’re seeing California come back a little bit here in October, it’s not where we want it to be and when we look at the numbers again year-over-year you think about busy our restaurants are and think about how busy they are in California, for us to do a plus 6 in California a year ago in September and do 2.5% guest traffic growth in California and how busy our restaurants are a year ago. Based to some degree I hate to blame it on prior year or do a two year stack but it was a taught hurdle for us to go up against and we don’t know if El Nino from a year ago ended up, driven up comp sales in California where we had the higher harder weather or what it was it was just very odd and I think the numbers as we get into October have seem to have just kind of gone back to more of a June-July timeframe, which isn’t great I think we are actually going a little bit better than that, but we diffidently come up from where we were in September looking at California.
Chris O'Cull: Okay. Have you guys started to outperform again in early 4Q?
Greg Levin: I haven't looked at - I just don't have it specifically I haven't looked at the Knapp-Track and Black Box directly on those two for Q4.
Chris O'Cull: And Greg there seems to be more self-inflicted issues every quarter, I guess related to menu and maybe even marketing management. Has there been any changes to your all testing process or have you considered retooling that process?
Greg Levin: I don't think there is Chris, I understand what you're getting at. I think what we're trying to do is give our very best explanation to the investment community as to what we're seeing going on out there. And maybe we're doing to a fault in saying as there are Piadina's and grilled cheese are really successful or maybe we’ve said that we want to go after grilling this time, barbeque grilling versus just purely on the burger standpoint and then you can look at it year-over-year and say wow that was a more - that promotion of burgers were better a year ago than what they were this year. But I don't think there has been any change in our business. I don't think there has been any change in strategy. I know we got the call on what about pizza earlier. Two years ago when we rolled out a really heighten and lighten menu category and came on with that side of things our comps turned around and went into kind of the plus territory with a lot of these new menu items because they've been very successful from a guest perspective. So I don't think there is any change there. I think it's more of the fact that we're trying to be as honest with the investment community as to what we're seeing every day and what we've done versus a year ago versus saying that we did something that was unsuccessful or is a change in what we've done historically.
Chris O'Cull: Okay. And then I apologize if I missed this, but what comps do you think you need in '17 to kind of maintain restaurant margin?
Greg Levin: Well it's always a challenge there, because when I look at like going over a negative 3-4 that we're going over right now. Realistically we should be able to get margins back into 19 plus percent range that’s what we always talked about for our business. And yes we got there faster than what we’re originally anticipating in a way. But that was all predicated around that 1 plus when it was really predicated around the 2% comps and at the time we’re able to get more value savings out of Project Q and other cost initiatives. I think you start to go back to the 1 plus percent range. And frankly that is also dependent on how you get there from a comp sales perspective. 1% all on pricing is a lot easier to manage your margins on versus 1% on 1% traffic and 0% pricing. So I think it's probably you're looking at 1 plus percent ranges where you need to start going to get margins back to where we want them to be.
Chris O'Cull: Okay. And then Greg my last one is just in the past you guys have sited low and today you sited low unaided awareness as an issue especially in newer markets. How are you measuring whether the new marketing program or campaign is improving awareness? And are you able to measure whether the intent to return for newer launched users is consistent with what you're seeing from kind of the core users of the brand?
Kevin Mayer: Sure so this is Kevin Mayer we have an ATU study in awareness trail usage study in place proprietary. We look at not only at our brand but as well as competitive brands and we look at it regionally. So we are able to tell understand our awareness, both aided and unaided as well as intent consideration as well as quality inventory attributes. So we are tracking that both at national level as well as regional levels. And over the time we'll be able to watch it ways how we're doing and measure the successful marketing.
Greg Trojan: And look I just reinforce something I said earlier, because it is related question around are we seeing any change in those metrics. If anything in terms of our direct connect scores and satisfaction of our guest and the intent to return of new trials which is one of the key things we look out in that ATU are all very positive.
Chris O'Cull: Great, thanks guys.
Operator: We will now take a question from Will Slabaugh with Stephens Inc.
Will Slabaugh: Thanks, guys. Wanted to go back to the capital side of things, I know you said you could spend that excess free cash flow on both sales building capital which it sounds like to be more tech involved. So I wondered if you could talk about more what that sales building capital could be. And then what that mix of excess free cash flow could mean between share repurchase and that sales building capital?
Greg Trojan: Yeah that's exactly what we're working through from a planning process that balance. And as Greg said we look at it itirably [ph] even throughout the year. But I'm not going to get super specific here, but we will - Greg did give an example of the handhelds from a speed of service, we like what we are seeing from that perspective, our servers love it. And, so that would be an example and there are several other that involve technology and back of house process that we’ve been working on this year that look very promising. But we also think that the metrics around the value and the growth opportunity of our company in terms of stock price are quite attractive. So it’s nice to have a balance sheet like that, that we do that we have that kind of flexibility and it’s not an either or. But in terms of that balance, I can’t give you a ratio or a hard number in that respect as we’re working through it as we speak. But I’d expect to see both.
Will Slabaugh: Understood. And I had one quick follow-up on to go out and potentially you can deliver. I know you mentioned to go with something you’re going to focus more on, we’re seeing some of your peers who would are much more mature than you are that having seeing some pretty good results with the go, as they have been marketing that. So I am curious how far along you are with plans in terms of launching more to go offerings or more to go marketing to get people aware that that’s something that you’re going to focus on?
Greg Trojan: Yeah, I think we have done some menu work there, but what we want to do is given the busyness of our restaurants is make sure we direct that to items that are right for the guest and right for us. So there is a bit more menu work to be done there before we launch into the marketing aspect and given the fact that our app really makes this a seamless experience as well where we think there is a lot of opportunity in combining them both, there is a bit more marketing work to be done towards the end of this year and I’d look start seeing it into in the early part of next year.
Will Slabaugh: Great. Thank you.
Operator: At this time we’ll move to Jeffery Bernstein with Barclays.
Jeffery Bernstein: Great, thank you. Couple of I guess follow-up questions. First just on the comp, if I understand it right that I think in the third quarter you started down 2 for the first few weeks, I know you said September was the worst was just based on the averages would seems like September was running down mid-single-digits. So that’s close to accurate now you have reaccelerated to actually down just 1.5 in October, that would seem to be a significant improvement in trend. I am just wondering if there is anything specific you’d attribute that to I know you mentioned kind of the California hit in September, but is there anything, that you’ve done specifically or anything that you could point to, to explain what it seems to be a sharp acceleration in the trend?
Greg Trojan: Well look, I’d like to say that we have unlocked something magical to bring around that turnaround in momentum it’s still negative, so we are not dancing in the streets here. But, we have I think from a marketing perspective and a messaging perspective are in as good a place as we have been in for quite some time and we have a new menu in place with some items that we think are driving some good incidence as well. But if you look at the macro differences is we’re not in the middle of an Olympics, I think hopefully people are tiring of watching debates and - but the level of distraction from particularly I would again reinforce and you can see them in the California numbers what’s happened during Q3 in terms of prime time, those macro forces are somewhat easing and I am hopefully post-election people will get into a more normal rhythm and mind set as well and we would look forward to that happening too.
Jeffery Bernstein: Unfortunately I guess, one more debate and I had to get through. Otherwise you are in better shape.
Greg Trojan: I don’t think there’s going to be a lot new there though, so I am hoping viewership will be down.
Jeffery Bernstein: Yeah, good luck with that. And then, I mean right if you are down 1.5 quarter date I know you are lapping I think a 0.7 positive last year, is there any sequential comparisons rest of the year, which seem like I think compare has got tougher the rest of the year last year, is there anything we should be aware of, as we look through the rest of this quarter?
Greg Levin: No, Jeff it wasn’t any tremendous change month-to-month or period-to-period. I think we might have said at this time a year-ago that we are up about a 0.5%, we finished the quarter at 0.7%, but it wasn’t like - it wasn’t 0.5% and then all of a sudden December was up 3% or something.
Jeffery Bernstein: Got you. And just lastly on the unit side of things so as you said we assume 12 openings for next year that it would seem like two of those are the pushback that you got the ones you pushed off from Indiana this year, but if we were sizing up that dozen openings I mean new versus existing markets next year and if you can provide some color on that? And whether or not the preopening cost and I don’t know whether we just take a street ratio of 12 units in '17 versus the '17 and '16 or might there be something nuance with that where the preopening cost might be lower for the...
Greg Levin: Yeah I think you could still do kind of preopening cost number is about 425 or so where we've been or so over the last couple of years we've been the new report of 7000. Generally speaking there is two new markets that we're looking at right now that are kind of on our short list. So rest of our existing markets but they’re markets that we're continuing to build out whether that would be Indiana or Ohio or even we just went in this year to North Carolina so we're looking at a couple of sites in that area. So there are existing markets but there are still a little bit of newer market in that regards as we continue to try to build with that cluster impact and build our brand awareness in those markets.
Jeffery Bernstein: Understood, thank you.
Greg Levin: You're welcome.
Operator: Next question will be from Andy Barish with Jefferies.
Andy Barish: Hey guys. Just quickly the top line environment, I mean are you going to present to the Board a plan that includes positive comps for next year?
Greg Levin: Hey Andy I don't know if I have any answer to that yet. It's a great question and I'm sure our Board members are listening. I will tell you historically they have not allowed us to present a plan to the Board with negative comp sales. So the likelihood is probably yes it will be positive, but we don't know until we get together and we put together our scenarios and we talk it through with them.
Greg Trojan: I think more importantly though Andy when you look at the back half of this year and the challenging environment. I do and look nobody on this call has a crystal ball of all, but I do think there are a lot of temporal issues and factors that I'm optimistic that it will be better next year. And that would include an environment that's positive from a comp sales perspective.
Andy Barish: Hope you're right. Just one quick final one on lunch, the lunch day part is it - I'm assuming it's not positive it's just down less than the overall comp is that what you were referring to on lunch becoming a bigger part of the mix with your efforts on value and things like that?
Greg Levin: That's correct. Specifically around traffic.
Andy Barish: Okay, thank you.
Operator: We have time for one more question this will be from Sharon Zackfia with William Blair.
Sharon Zackfia: Hi, good afternoon. Just two quick questions, I mean do you think the comp weakness in September and maybe in October has anything to do with NFL viewership? And then secondarily can you remind me on the fourth quarter, are you going to do comps on a 13 week basis or 14 week basis and is that going to include or exclude kind of the holiday week?
Greg Trojan: Sure I'll take the NFL one it's interesting I have been reading that as a very depressed judgment looking at it sort of NFL. But the - I don't think that is impacting our business meaningful. We're not a sports focused concept where we go up and down with event. If there is a team in the World Series in one year and not the next we’ll see something like that. So I don't think the 10% viewership change which I think is what they've been talking about is a meaningful difference to our business. But I've been reading it and thinking about it just says, I think what people might be missing a little bit is what it does about the mentality of people in the mood to be out and even watching football. They're just it's not as jovial time I don't know it's hard to describe much differently than that. And I just think the mood is pensive in general and why people aren’t out in restaurants as much maybe might have something to do with why people aren’t watching as much football. But that's psychological but counselor here but I think a bit more in terms of that than specifically traffic driving.
Greg Levin: And Sharon it’s Greg Levin here the other Greg. What we did I think in 2011 added we’ll report on a 13 week so we'll keep it apples-to-apples in regards to how comp sales camp through. And then we'll end up pulling it out in weekly sales average and everything else from that standpoint. Exactly like we did it back in 2011.
Sharon Zackfia: Okay thank you.
Greg Levin: You're welcome.
Operator: And that does conclude the question-and-answer session and today's call.
Greg Trojan: Alright, thank you everyone.
Greg Levin: Thanks.